Maria Gabrielsen: Welcome to Yara's first quarter results presentation. Today's presentation will be held by our CEO, Svein Tore Holsether; and our CFO, Thor Giæver. After the presentation, at 1:00 p.m. Oslo Time, there will be a conference call where you can log in and ask questions. And with that, it's my pleasure to hand over to Svein Tore Holsether.
Svein Tore Holsether: Thank you very much, Maria, and good morning, good afternoon and good evening, depending on where you're dialing in from. And thank you for joining our first quarter presentation. As always, we start with safety. And this week, we celebrated the 10-year anniversary of our Safe by Choice program. This started out as a program, but now it is deeply embedded into our corporate culture. The TRI continues to be at a low and industry-leading level. And I would like to highlight the turnaround that was just finalized at our Babrala plant in India, 400,000 contractor hours completed without any safety incident, which is really quite an accomplishment. However, I would also like to say that I am concerned to see an increasing number of incidents throughout the quarter and into April. We had one serious accident in Sluiskil in March where a contractor was exposed to electricity during installation work. And medical service was given, and the contractor was brought to the hospital for monitoring. Focus areas going forward include improving the quality of our risk assessment and also implementing human factor training programs. We continue to strive towards 0 injuries, and we know that this is possible. Turning then to the highlights of the quarter. Our results are down compared with the first quarter last year, and this is due to steeply falling prices, which have led farmers and distributors to delay purchases, resulting in lower volumes and then also inventory write-downs. On the production side, we continue to have an impact from proactive curtailments to optimally manage market conditions. Cash flow has improved in the quarter, including a positive impact from the release of operating capital. We've seen a tighter nitrogen market into second quarter and with strong European demand at new season nitrate prices. Market prices have fallen continually for the last 2 quarters, both for finished products and for raw materials. At the same time, orders and deliveries have been reduced as a result of farmers delaying purchases amid falling prices. This has given rise to write-downs of products which were produced but not sold at the end of the quarter. Not all position losses lead to write-downs, and we estimate that such position losses represent a further 50% compared with a total write-down value. Write-downs have affected most product groups. Ammonia is the largest due to a combination of high historical cost of production and falling ammonia prices. As a producer, Yara has a natural long position arising from the timing of production relative to sales, which typically gives a positive position effect when prices rise and then the opposite when prices fall. However, we do and have been taking a number of measures, including exposure limits, curtailments and commercial surcharges that reduced the impact during a negative trend. The EBITDA for the quarter is down 64% as lower prices, deliveries and inventory write-downs more than offset the savings from gas costs. As I just indicated, within the price margin variance, we estimate the negative position effect at approximately $300 million, of which $190 million taken as write-downs and another approximately $100 million which hit our cost of goods sold but not as write-downs then. Our energy cost reduced approximately the same amount in line with the guidance from last quarter. Fixed costs are up in the quarter driven mainly by inflationary pressures and ramp-up of new business areas, and Thor will get back to more of this shortly. The delayed purchasing pattern can be seen in lower European industry deliveries season to date and has contributed to production curtailments in Europe, especially from the end of fourth quarter and into first quarter. The lost volume has been partly replaced in the market by imports, mostly urea. But season-to-date total deliveries are behind a year earlier and 14% lower than the average of the last 5 seasons. However, we have seen improved competitiveness and demand for European nitrates into the second quarter, thanks to lower natural gas prices and normalization of nitrate premiums. It's important to note that nitrate-based fertilizers offer superior yield and crop quality, and it can also be produced with a much lower CO2 emissions than urea. Competitive nitrate and NPK production in Europe is needed in order to succeed in feeding more people while protecting the environment, including reaching the European Union goals in the Fit for 55 package. As you can see on this slide, increased farmer profitability and optimal application rates contribute to the pickup we've seen into the second quarter. Comparing the price of cereals with the cost of nitrogen fertilizer, the index is 20% above the average for the past 15 years. And since 2008, it has only been at this level for a few and short periods. Looking then at nitrates and wheat, which is the most important crop in Europe, the optimal application rate is actually 14% higher than a year ago. And if using the -- and that's by using the average CAN price in April. If we calculated this based on the new season price, the optimal application rate would be even higher. So now I'll hand over to Thor, and he will take you through our financials. Over to you, Thor.
Thor Giæver: Thank you, Svein Tore. As you can see on this slide as I move on here, as Svein Tore has already covered, results are weaker this quarter. And you can see a similar development for EBITDA and for earnings per share and net income, although for the latter, the decline is steeper compared with last year mainly for 2 reasons. Firstly, this quarter, we had a currency gain of USD 3 million, while a year ago, the equivalent number was USD 223 million. Secondly, our effective tax rate was 35% this quarter due to certain tax losses not being recognized as deferred tax assets. While a year earlier, the same rate was 23%, which is closer to normal over time for Yara. Our return on invested capital for the last 12 months is up from 12.7% at this point a year ago to 20.1% today due to the strong cash earnings seen in 2022 but down from 25.7% as of the fourth quarter '22 due to the weaker first quarter results we are announcing today. For the quarter in isolation, the ROIC is 5.7% compared with 27.7% in the first quarter of 2022. Cash from operations was approximately $500 million, improved compared with a year earlier despite lower earnings due to a USD 250 million release of operating capital, where lower price levels have reduced receivable and inventory values partly offset by higher inventory volumes. Investment cash flow in first quarter '22 was positive due to the Salitre divestment proceeds of USD 440 million. Excluding this, investments for the current quarter are slightly higher than a year earlier mainly due to preparation work for maintenance stops in Tertre in Belgium, in Pilbara, Australia and Freeport in the U.S. Looking at our segment results. The impact of declining prices and lower demand is seen in the lower EBITDA across all segments. Having earlier showed you the product split of the $190 million of write-downs during the quarter, here you can see the split per segment and region. And the inventory write-downs this quarter are especially visible in Europe, which has a negative result this quarter as this is the region where the combined market challenges were strongest with high energy cost, curtailments, increased imports and delayed purchasing. For the other segments, the lower results also reflect a combination of lower margins and lower deliveries but with overall strong production margins outside Europe but lower than the record 2022 levels. Taking a closer look at deliveries. Total crop nutrition volumes were down 24% compared to a year earlier. We've already commented on the general trend of delayed purchasing in the quarter and specifically on Europe, where production curtailments also impacted deliveries. In Americas, the lower deliveries also, to some extent, reflect the strategic decision to reduce exposure to low-margin trade segments. Africa and Asia deliveries were impacted by a planned maintenance stop in the Babrala plant in India partially offset by higher premium product deliveries in China and in Africa. The Industrial segment saw lower deliveries compared with a strong first quarter 2022, mainly Base Chemicals Europe due to reduced industrial activity and in Transport Reagents, where deliveries normalized compared with a record level 1 year earlier. For Clean Ammonia, deliveries were roughly in line with a year earlier. Looking at our operational performance. Both ammonia and finished product production were impacted by curtailments, respectively, roughly 600,000 metric tons -- sorry, million tonnes of ammonia and 1.3 million tonnes of finished products. Now for the avoidance of doubt, these curtailment numbers are not annualized but actual volumes curtailed during the first quarter. Excluding these, we saw stable to improved reliability overall compared with a year earlier. Energy efficiency was impacted by curtailments and by -- and the related unproductive gas consumption from plant start-ups following both curtailments and, in some cases, unplanned stops. We continue to maintain strong cost discipline with a target to beat inflation in existing business. Our fixed costs increased on a 12-month rolling basis due to inflation and cost ramp-up in growth areas such as Yara Clean Ammonia and digital projects. But overall, our resource use developed in line with our targets and our guidance. As already mentioned, CapEx is increasing but in line with guidance with the upcoming planned maintenance during the first half of 2023 in several of our major plants. Operating capital days have increased during this quarter mainly due to inventory days increasing with the lower deliveries and some inventory buildup. Turning to net debt development. Our operating earnings and lower operating capital more than funded investments, reducing our net debt by approximately $180 million. The other component in the chart consists mainly of new leases and fair value adjustments together with currency translation effects. As already mentioned, the release of operating capital was mainly driven by lower prices partly offset by inventory build due to lower deliveries. And also as mentioned, we are seeing tighter nitrogen markets and stronger demand into the second quarter, which is likely to reverse the trend on inventory build. And also, as a consequence of this, our nitrate and NPK curtailments are now being discontinued. Rounding up this section of the presentation, we've already covered many of the key elements in our corporate scorecard. Our planet-related KPIs and production targets are strongly impacted by the curtailments and optimization of the product portfolio. However, we are continuing to progress with key initiatives and projects to achieve the 2025 and 2030 targets in line with our improvement program and climate road map. Similarly, to reach our targets for revenue from new business models, we also have significant further work to do. And although the weaker first quarter results in isolation have impacted our prosperity metrics, the returns over the last 12 months are strong, and we remain confident also going forward in our ability to optimize operations to reach these targets. So I'll now hand you back to Svein Tore for his closing remarks.
Svein Tore Holsether: Well, thank you very much, Thor. And as we conclude today's presentation, I would like to highlight the joint venture with Enbridge that we announced just a few weeks ago at the end of March, where Yara is taking a major step towards building an asset-backed supply of clean ammonia. The U.S. is a highly attractive place for clean ammonia projects with competitive energy cost and opportunities for carbon capture and storage and in addition then to the government incentives through the Inflation Reduction Act. An important aspect of this project is that it will benefit from large scale with a targeted production of 1.2 million to 1.4 million tonnes of annual capacity. This will enable a lower CapEx per tonne and a lower OpEx per tonne as well. And the size is significantly larger than comparable projects. And this is a key value driver in addition to the Inflation Reduction Act support, which could represent roughly USD 135 per tonne of ammonia. It's also a very good fit with the production system that Yara has in Europe, which is flexible on ammonia sourcing. So this is therefore also very good news for Europe as clean ammonia capacity in the U.S. could help increase Europe's energy security with ammonia imports complementing LNG imports. Yara's fundamentals remain strong, and we're committed to our ambition of growing a nature-positive food future. The ambition is Yara's promise to drive actions needed to provide a healthy food and to increase prosperity while also protecting nature. The disruptions of recent years have shown how fragile the food system is and how impacted the most vulnerable communities in the world are also the ones that are hardest hit from this situation. The way that we grow food must change, and building a more resilient food system will be a key part of the solution. And Yara is uniquely positioned to drive this transformation while continuing to deliver strong shareholder returns. So to conclude, Yara has made and is continuing to make significant steps towards transforming agriculture and the broader hydrogen economy. So thank you for listening in. And I will now hand over to Maria. Over to you.
Maria Gabrielsen: Thank you, Svein Tore. Just rounding up from my side by reminding everyone about the conference call at 1 p.m. Oslo Time, approximately 40 minutes from now. You can find the log-in details on yara.com under Investors. And that concludes today's presentation. Thank you for watching.
End of Q&A: